Operator: Welcome to Uniti Group's Second Quarter 2022 Conference Call. My name is Daniel and I will be your operator for today. A webcast of this call will be available on the company's website, www.uniti.com, beginning today, and will remain available for 14 days. [Operator instructions] The company would like to remind you that today's remarks include forward-looking statements and actual results could differ materially from those projected in these statements. The factors that could cause actual results to differ are discussed in the company's filings with the SEC. The company's remarks this morning will reference slides posted on its website, and you are encouraged to refer to those materials during the call. Discussions during this call will also include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the company's current report on Form 8-K dated today. I would now like to turn the call over to Uniti Group's Chief Executive Officer, Kenny Gunderman. Please go ahead, Mr. Gunderman.
Kenny Gunderman: Thank you. Good morning everyone and thank you for joining. Starting on Slide 3, the demand for our mission-critical fiber infrastructure continues to accelerate across virtually all of our customer segments. Our results for the second quarter exceeded our expectations and we continued to be enthusiastic about our prospects for the second half of the year. As a result we announced today that we're once again raising our full year outlook. We received our fifth consecutive quarter of elevated, consolidated new sales bookings, while also realizing our highest level of gross install activity since 2017. As the second largest independent fiber operator in the country with 133,000 route mile network, Uniti is successfully enabling broadband connectivity for our customers from local businesses to large national carriers. We remain uniquely positioned to benefit from the favorable trends within our industry and our strategy also further demonstrates that the shared infrastructure benefits of fiber result in healthy adjusted EBITDA and AFFO growth. Turning Slide 4 Uniti continues to track well in these shared infrastructure economics. As a result, we believe that a healthy mix of anchor and lease-up bookings and installs represents the most effective way to drive profitable growth. Uniti acquires or builds new fiber largely for our wireless customers with attractive long-term anchor cash flow yields in the mid- to high-single digits. We're then successfully adding additional tenants with very high margins and minimal CapEx, resulting in accumulative cash flow yield today of 21%, a threefold increase from the anchor yield of these projects. Slide 5 illustrates an important part of our healthy business mix. We continue to show that the majority of new bookings are lease-up in nature and the business mix results in predictable cash flow with industry leading monthly churn of 0.3% and an average remaining contract term of over eight years. Our continued, intentional focus on balancing wholesale, non-wholesale and anchor lease-up opportunities has resulted in outsized margin enhancement and AFFO growth, in a business that is relatively immune to swings in the economy, which I will elaborate more later in the call. Turning to Slide 6, as I've previously stated, although we report Uniti Fiber and Uniti Leasing separately, both businesses are marketed to our customers as one consolidated fiber business. Increasing number of customers and network solutions are a mix of Uniti Leasing and Uniti Fiber networks. And we fully expect and encourage that trend to continue. High capacity, long haul routes are needed by all of our customers, including carriers, hyperscalers, international carriers, MSOs and large enterprises to connect their disparate markets, data centers, and PoPs. Today, dark fiber in North America is an approximately $1.5 billion annual market opportunity and is expected to grow about 10% annually over the next several years, reaching approximately $4 billion by 2030, with long-haul fiber contributing to the majority of these revenues. The continued broadband explosion fueled by 5G, metro fiber, small cells, fiber-to-the-tower, fiber-to-the-home, and even fixed wireless, and satellite broadband, all provide on ramps of demand into the long-haul market. A critical ingredient to being a successful provider for these customers is having a robust national network, as most large customers require multi-route solutions. Having an own network is a meaningful barrier to entry for competitors to Uniti, especially given that it would take billions of dollars and many years to build a new national network. We estimate there are only five truly owned national networks and two independent fiber providers with national networks in the U.S. today with Uniti being one of them. Thus we have an unique opportunity to capitalize on this growing demand in the fiber market. We've created 133,000 route mile network through proprietary acquisitions at attractive economics with approximately three million strand miles of fiber available to lease third parties. We continue to grow that network and have built over 16,000 route miles of new fiber in the past four years. And our networks are intentionally constructed with high strand fiber in order to capitalize on highly accretive lease-up opportunities. As a reminder, the economics of long haul fiber are very attractive with high margin, passively managed revenue, little to no churn, long-term contracts that routinely have escalators built into them and minimal CapEx requirements. Since most of our network is dark today, we also have a great opportunity to grow our business by lighting more of our network in a disciplined manner. Our national wholesale network has the added benefit of providing terrific growth potential for Uniti Fiber. As we expand our national Lit network into new regions, the economics of adding Lit metro services, enterprise lease up in particular become more achievable. Turning to Slide 7. Although enterprise sales represent less than 5% of our total revenue today and will likely always represent a minority percentage, it remains a critical element of our lease-up strategy. Enterprise new sales bookings and install activity during the second quarter, were both the highest levels we have ever achieved in company history. And we expect these strong trends to continue as we further capture market share and deploy fiber-based lit services to our customers in our existing and new markets. As a result of our consistent strong bookings activity, enterprise recurring revenue was up 11% in the second quarter from the prior year. As I've mentioned before, we're only offering lit services in approximately 25 metro markets today with an average market share of only approximately 5%, providing us with a long runway to increase our market share substantially over the next several years. Even more exciting, as you can see from the map, we own metro fiber in nearly 300 markets nationwide, which represents terrific capital and margin efficient growth potential for enterprise, wireless backhaul and even small cells. We only recently acquired access to these markets in our 2020 settlement with Windstream. So we're just beginning to capitalize on the opportunity. Given the proven success of our anchor lease-up strategy and the attractive economics of these enterprise opportunities, with payback periods of about half the initial contract term and cash yields of 50% plus, we continue to actively prioritize these metro markets for expansion in both 2023 and beyond.  In looking at our national wholesale network and our 300 metro markets combined, we estimate that less than 5% of our total 7.8 million strand miles of fiber are actually lit. This virtual blank canvas provides us with a terrific runway for discipline growth without the burden of legacy declining products.  With that I'll now turn the call over the Paul.
Paul Bullington: Thank you, Kenny. Good morning, everyone. Both our Uniti Leasing and Uniti Fiber businesses continue to perform well. And this performance is reflected in our better than expected second quarter results. Despite increased economic uncertainty and volatility within the capital markets, Uniti remains well positioned, given our robust level of long-term revenues under contract, our declining capital intensity, along with the work we have done to strengthen our balance sheet and push out our debt maturities. As a result of the strength of the quarter and our continued confidence in our ability to execute in the second half of the year, we are once again, increasing the midpoint of our 2022 outlook for revenue and adjusted EBITDA.  Please turn to Slide 8 and I'll start with comments on our second quarter. We reported consolidated revenues of $284 million; consolidated adjusted EBITDA of $227 million; AFFO attributed to common shares of $115 million and AFFO per diluted common share of $0.44. Net income attributable to common shares for the quarter was approximately $53 million or $0.21 per diluted share. At Uniti Leasing we reported segment revenues of $206 million and adjusted EBITDA of $200 million up 5% and 4% respectively from the prior year. Accordingly, Uniti Leasing achieved an adjusted EBITDA margin of 97% for the quarter. Turning the Slide 9, our growth capital investment program continues to make progress and provide positive results for Uniti. Over the past six years, our tenant has invested approximately $1 billion of tenant capital improvements in our network. Uniti continues to invest its own capital in long-term, value accretive fiber, largely focused on highly valuable last mile fiber, including fiber and commercial parks and fiber-to-the-home.  Collectively, these investments have resulted in 16,400 route miles of newly constructed fiber and 22% of the legacy copper network being overbuilt with fiber. Both of these numbers continue to gradually increase each quarter, and we expect they will increase materially over the coming years. During the second quarter, Uniti Leasing deployed approximately $53 million toward growth capital investment initiatives with majority of the investments relating to the Windstream GCI program. These GCI investments added around 1,700 route miles of fiber to Uniti's own network across several different markets. As of June 30, Uniti has invested approximately $400 million of capital –to-date under the GCI program, with Windstream, adding around 11,200 route miles and 594,000 strand miles of fiber to our network. These investments will be added to the master leases at an 8% initial yield at the one-year anniversary of Uniti making such investment. They are subject to a 0.5% annual escalator and result in nearly 100% margin. The investments we have made today will ultimately generate approximately $29 million of annualized cash rent. During the quarter we sold our remaining investment interest in Harmoni Towers to Palistar Capital formerly known as Melody Investment Advisors, for total cash consideration of $32.5 million or approximately 35 times our ownership interest in annualized run rate cash flows. This transaction generated a gain-on-sale of approximately $8 million excluding related tax expense of $7 million. We had previously sold 90% of our U.S. tower business to Palistar in June of 2020. The net effects of this transaction are included within our leasing segment. At Uniti Fiber, we turned over 459 Lit backhaul, dark fiber, and small cell sites for our wireless carriers across our Southeast footprint during the first quarter. These installed at annualized revenues of approximately $4.9 million and represent the highest level of wireless growth installs ever for Uniti. We currently have around 1,400 Lit backhaul, dark fiber, and small cell sites remaining in our backlog that we expect to deploy within the next few years. This wireless backlog represents an incremental $12 million of annualized revenues. At Uniti Fiber, we reported revenues of $78 million and adjusted EBITDA of $34 million during the second quarter. Both revenues and adjusted EBITDA were higher than expected largely due to the timing of equipment sales and early termination fees and lower costs. We achieved an adjusted EBITDA margin of 43% for the quarter, a 200 basis point improvement from the prior year period. Uniti Fiber net success base CapEx was $30 million in the second quarter. We also incurred $2 million of maintenance CapEx or about 3% of revenues. Please turn to Slide 10 and I will now cover our updated 2022 guidance. We are revising our guidance primarily for business unit level revisions and the impact of transaction related and other costs incurred today. Our outlook excludes future acquisitions, capital market transactions, and future transaction-related and other costs not specifically mentioned herein. Actual results could differ materially from these forward-looking statements. Our current full year outlook for 2022 includes the following for each segment. Beginning with Uniti Leasing, based on better than expected lease-up success we are now – we now expect revenues and adjusted EBITDA to be $822 million and $800 million respectively at the midpoint representing adjusted EBITDA margins of approximately 97%. Revenue and adjusted EBITDA each include $14 million of cash rent associated with the GCI Investments and $26 million relating to the straight line rent associated with the Windstream master leases and GCI Investments. We expect to deploy $275 million of success-based CapEx at the midpoint of our guidance, of which $250 million relates to estimated Windstream GCI Investments. Turning to Slide 11, we continue to expect Uniti Fiber to contribute $309 million of revenues at the midpoint and adjusted EBITDA of $121 million for full year 2022. When adjusting for the Everstream transaction that incurred in May of 2021 the year-over-year revenue and adjusted EBITDA growth is 6% and 8% respectively. This strong growth demonstrates our continued success in managing our cost structure and improving margins while executing on lease-up that leverages our existing dense southeast fiber footprint. As I previously mentioned, we still expect 2022 to be the peak year for Sprint related churn, which means higher than normal one-time ETL fees related to legacy Sprint sites being disconnected as part of the T-Mobile merger. As we turn to 2023, we still expect to realize some ETL fees, but most likely $12 million to $13 million less than in 2022. We do still expect that our core recurring revenue at Uniti Fiber will increase by mid-single-digits percentage rate for full year 2023 when compared to 2022. Net success-based CapEx for Uniti Fiber this year is still expected to be $120 million at the midpoint of our guidance, a 12% decrease from levels in 2021. Turning to Slide 11. For 2022, we expect full year AFFO to range between $1.70 and $1.77 per diluted common share, with a midpoint of $1.74 per diluted share, a 4% increase from 2021. On a consolidated basis, we expect revenues to be $1.1 billion and adjusted EBITDA to be $896 million at the midpoint. Our guidance contemplates consolidated interest expense for the full year of approximately $390 million. Corporate SG&A excluding amounts allocated to our business segments is expected to be approximately $33 million, including $8 million of stock-based compensation expense. We still expect our weighted average diluted common shares outstanding for full year 2022 to be around 267 million shares. As a reminder, guidance ranges for key components of our outlook are included in the appendix to our presentation. Turning now to our capital structure. With the work we've done over the past couple of years to push out our debt maturities and strengthen our balance sheet and liquidity position we do not have a need to access external capital through the end of 2023. As such we continue to be opportunistic in our approach to managing our capital structure over the near-term. At quarter end, we had approximately $360 million of combined unrestricted cash and cash equivalents and undrawn revolver capacity. Our leverage ratio stood at 5.64 times based on net debt to last quarter annualized adjusted EBITDA. Our consolidated net leverage ratio at quarter end as defined in the indenture governing our 7% and 7.8% senior secured notes stood at 5.71 times, which is below the 5.75 times threshold imposed by the indenture that had restricted our ability to distribute dividends in excess of 90% of taxable rate income. In light of this milestone, our Board will continue to evaluate our dividend policy and the optimal capital allocation strategy going forward. On July 29th our Board declared a dividend of $0.15 per share to stockholders of record on September 9th, payable September 23rd. With that, I'll now turn the call back over to Kenny.
Kenny Gunderman: Thanks, Paul. Before turning to Q&A, I'd like to address the current economic backdrop and the implications for Uniti. We're prepared for the likelihood of a recession or at least a sustained economic downturn, as well as an elevated interest rate environment for some time. With respect to a potential recession we believe our core business will likely see little to no noticeable impact given the mission critical nature of broadband. Further, the vast majority of our revenue is wholesale in nature with long-term contracts, some of which have escalators pegged to CPI. This customer base has proven more resilient than enterprise during downturns. With respect to costs, we're beginning to forecast higher labor and material costs in some areas. With that said, however, we don't expect any meaningful changes to current or forecasted margins or capital intensity. Given that our business performed exceptionally well during the depths of the pandemic, we would expect to execute at a similar level during any potential recession or economic downturn. The elevated interest rate environment has created capital market challenges for high yield issuers seeking to finance M&A or to refinance near-term debt. Fortunately for Uniti, we have no significant near-term maturities. As it relates to potential debt, refinancing in M&A we have the ability to be patient. To be clear we remain confident in our intrinsic value and our ability to execute on our strategic options, but we believe better execution could be achieved in more normalized markets. Despite this macroeconomic backdrop, we continue to prioritize investment in our core business. We currently have over $7 billion of revenue under contract with the average remaining term of 8.5 years. The majority of this revenue is passively managed in the form of triple-net or dark fiber MLA's. As a result, the operating costs associated with this revenue is de minimis, which results in a cash flow rich business over the mid- to long-term. We think this is an underappreciated part of our story, especially since by 2030, we expect to have generated approximately $1.5 billion of cumulative free cash flow after dividends. If we maintain our current dividend and approximate level to annual capital investment. This trajectory leads to substantial de-leveraging resulting in 2.5 times to 3.5 times net leverage and more than doubling the size of our non-Windstream fiber business by 2030. Our network is highly underutilized representing – presenting profitable growth potential for some time. We expect net capital intensity to decline from our current level of approximately 35% to approximately 10% by 2030. This decline is indicative of accelerating operating leverage in the business and many years of high margin, high yielding lease up including dark fiber, lighting unique long haul routes and expanding deeper into our existing 300 metro markets. With that said, our cash rich MLA's provide great optionality to pay an increasing dividend and invest even more in our core business in lieu of paying down debt. As I mentioned in my earlier remarks, regardless of our capital allocation policy, our runway for organic growth appears long and fruitful, especially given strong industry tailwinds. In summary, we believe Uniti is well positioned with a recession resistant business and a terrific opportunity for material value creation with no reliance upon M&A. With that operator we're now ready to take questions.
Operator: Our first question comes from Gregory Williams with Cowen. Your line is now open.
Gregory Williams: Great. Thanks for taking my questions. First one is just on the solid gross installs. Obviously impressive here and you're finally chipping away at this backlog. Is this sort of a function of the better weather so can get out there and install and we're coming out of the pandemic. And how does that translate to your ability to hire contractors in the workforce? I think as I think about the sustainability of the solid gross installs? And then the second question just on the M&A environment, I think you noted, you're waiting for better execution for a more normalized environment. How would you characterize your M&A and your appetite, and I didn't see any deals today. Does that mean something more transformative is still on the table? Thanks
Kenny Gunderman: Greg. On installs I'd say it's a result of three things. One we've just had elevated bookings now for several quarters and just starting to, I mean, obviously bookings precede installs, so you're starting to see installs catch up if you will. Secondly, very active first half of the year with dish which I think was probably more active than we expected. So that was an important contributor. And to your question about labor, it continues to be a challenge to get whether it be contract labor or full time labor, frankly. That's one of the reasons we called it out in our prepared remarks. But fortunately we've been able to staff the positions we need and we actively manage that. So I think we're confident that that's not going to be a bottleneck for us. Although, like we said, there could be some elevated costs associated with it going forward, but at this level of bookings and this level of installs for us, that's a cost well worth bearing. With respect to M&A not much more to say than what we had in our prepared remarks. We're just going to continue to be patient and opportunistic like we always have. We continue to think the trends both in the industry and in the conversations that we're having are very favorable and we believe will be very fruitful for Uniti in the future.
Gregory Williams: Got it. Thank you.
Operator: Thank you. And our next question comes from Michael Rollins with Citi. Your line is now open.
Michael Rollins: Thanks, and good morning. Two questions: first on the guidance. The revenue and EBITDA midpoints picked up a little bit, but AFFO looks unchanged. If you could just unpack a little bit more of the pluses and minuses in that transition from income statement to the AFFO guide? And then secondly, you talked about the opportunity to deliver over time with the cash that the business can produce. Should that be the base case for investors that in the absence of any larger transformative transactions that Uniti is aspiring to de-lever to a certain financial net debt target range? Thank you.
Paul Bullington: Hey, Michael this is Paul. Thanks so much for your question. Yes. Just some differences particularly in terms of cash, cash revenue and translating from EBITDA to from revenue and adjusted EBITDA to AFFO between the quarters. So I think that's the primary difference that you're seeing there. There's a couple other minor things, and we can get you some more detail on that, Michael, if you'd – if you'd like. But I think that just the differences between cash, cash revenue and non-cash revenue is the major contributor to the difference there.
Michael Rollins: So just too quickly follow-up on that. So is the benefit in the short-term straight line or deferred revenue and over time that converts into cash revenue. So therefore you're getting the benefit in the income statement, but not AFFO. I was curious if it was more that, or if there's just other offsetting items to a change in the cash income statement contributors versus like interest or some other items like that.
Paul Bullington: Yes. I think without getting into too much – too much detail there, I think that a lot of those cash differences do come in when you're looking at straight line revenue. I think you're exactly right there and those differences coming in as you have that role on and off with new contracts or old contracts. So I think that's the largest contributor, so I think you're right on target there.
Kenny Gunderman: And Michael, it’s Kenny. With respect to your question about some of the longer term outlook we provided. I doubt we will ever get down to 2.5 times to 3.5 times leverage simply because that's probably under leveraged relative to an optimal capital structure for our business. What we were really trying to demonstrate is the ability to do that. If we chose to, I think more likely we would use that cash to either pay higher dividend or invest more in the business, especially given the trends that we're seeing in the business and the trends that we're seeing in the industry or some combination of those things. And I think that's a great place for us to be at, to have the optionality to either invest, pay our dividend or deleverage or some combination. And by the way that also sets you up for doing more opportunistic bolt-on M&A with a better balance sheet and more liquidity. So that that obviously would factor in. And with respect to this being the base case, I think this is the base case. I mean, we're – M&A for us has always been opportunistic especially transformative M&A and I think in doing M&A, it's always important to have the ability to be patient and in order to be patient you have to have a good business that's performing well, and you have to have a good balance sheet and a good runway for liquidity, and we certainly have all those things.
Michael Rollins: Thanks.
Operator: Thank you. And our next question comes from Frank Louthan with Raymond James. Your line is now open.
Frank Louthan: Great. Thank you. In your slides, you talked about the 275,000 buildings that you passed, what percentage of those are realistic targets to get business from? And what's your current penetration? And then what are you doing to try to increase that penetration going forward?
Kenny Gunderman: Hey, Frank, I would say all of them are accessible, and that's really the point. We do a lot of work both with our own data and outside sources where it's useful to pinpoint our network and opportunities near that network. So anything on that list and by the way that's a list we share with our customers, it's out there for the industry to see. So we want customers and potential customers to see that, and therefore call us when there's opportunities in those buildings. So that's a real number that we're executing on. And I would say with respect to market share, we look at it by market and we've got some markets where we're approaching maybe 10% market share, but the vast majority – in the vast majority of our metro markets, we're well below 5%. So we're really an insurgent, a share taker and just feel really excited about the opportunity that we have going forward to continue – continue taking share in the near-term.
Frank Louthan: All right, great. And talking with some other infrastructure players or seeing some of their escalators go up, AO’s inflation has gone up. Are you having any similar conversations with new customers or when you're renewing leases about raising some of the escalators to compensate for that?
Kenny Gunderman: Yes absolutely. Escalators have always been important to include whenever we can and especially our long-term dark fiber contracts that have such a long life. But in the current market and current times, escalators are even more important. So, yes, that's we're putting even more focus on making sure our contracts have the escalators that can continue to protect our revenue stream and isolate it from kind of inflationary pressures going forward. And as Kenny mentioned in our comments, we do have, some of those escalators are fixed rates, but some of those escalators are tied to CPI, which is particularly valuable time like 2022 when we've had such an increase in the CPI year-over-year. So that's been a nice thing for us to have those built-in whenever we can and we'll continue to put an increased focus on that in a time like this for sure.
Frank Louthan: All right, great. That's really helpful. And if you can make sure the operator turns my mic off this time, that'd be great.
Operator: Thank you. And our next question comes from David Barden with Bank of America. Your line is now open.
David Barden: Hey guys, thanks so much. Hey Frank, make sure your dogs are quieted down there please. So guys, I guess I got three questions. So the first one could be Paul, can you remind us just the 2022 termination income that you're expecting from the T-Mobile merger and what the one timers contributed to 2Q? And then what you kind of think is left over for 2023 that we should be thinking about? I think you mentioned that in the prepared remarks. The second, I guess, would be Kenny, now that you guys have broken through that covenant barrier, could you give us a timetable and some criteria either execution or cash flow generation or leverage criteria that you think would help us inform a decision about revisiting the dividend payout policy? And then I guess my last question would be, there was a window, there is a window to refinance your highest coupon debt, seven to seven eight 2025. That started in kind of the mid first quarter and a quarter ago, it would've been call it a six-ish percent type of coupon to refinance it. Now it's probably north of seven. So you didn't do that presumably for a reason. And one speculation is that the reason why you're not coming back to the markets is that this dispute with Windstream about the least renewal term and the 2027 arbitration is impacting your decision making around capital markets access. So I was wondering if you could kind of revisit that topic too, please. Thank you so much.
Paul Bullington: All right. Thanks, David. It’s Paul, I'll take your first question. So yes, we've been mentioning for a while that the Sprint churn is going to peak in 2022. So it's definitely having an impact on the financials this year. So we wanted to provide a little bit more color on that for you guys in our comments this time. Like I said in my remarks we expect ETLs in 2023 to be less than in 2022, since 2022 is, like I said, the peak year. And we're expecting that to be about $12 million or $13 million less than what it is this year. So this year if you look at our page there is a breakdown, Uniti Fiber revenue, you can see the $61 million of core nonrecurring that we're projecting at UF for 2023. About $25 million of that is expected to be related to ETLs and the vast majority of that is associated with the Sprint decoms. So, that amount would really kind of be cut close to in half. If you look out towards 2023 for our expectations. I don't know the exact number for the second quarter. I think you asked that, we can get you that David later, but it's definitely a contributor to the quarter. No, I do have the – I've got the number here. It was about $7 million contribution to the second quarter alone ETLs from a revenue standpoint.
David Barden: Great.
Paul Bullington: And David, with respect to your other two questions on the dividend, obviously that's a board level decision. So I don't want to put any parameters around that to get ahead of them. But certainly I had a robust discussion with the Board about it last week at the Board meeting and we'll con continue to have that in the coming months, quarters. I think right now we're paying 90% of taxable income most REITs pay a 100%. There is tax savings associated with that. There certainly would be for us. And so that's an incremental consideration that I'm sure you're thinking about aware of. But beyond that, I don't want to put any put any guardrails around it and get ahead of the Board in any way. But it's great to have that covenant cleared so that they have the flexibility to pull that lever on capital application, if they choose to. With respect to your last question, I don't agree with your conclusion. We certainly did not finance or refinance some of the debt that you mentioned, but there is a lot of factors that go into that. I won't go into all the ones that we considered, but for starters, we've got a really nice runway before we need to refinance those large maturities. And we actively manage that and actively discuss with our advisors, including a whole host of financing opportunities. And I can assure you that the renewal issue was not a concern for us. In fact, in some ways as you know, we didn't choose to have this public spat, but the fact that we are actually caused us to put our disclosure out there. And I think a lot of investors and lenders, creditors took comfort in seeing that disclosure. So I think it's actually, probably the opposite of your speculation with respect to any concerns there. And look longer term going back to our prepared remarks at the end about our longer term trajectory in terms of the cash flow, generating opportunities in the business, we just feel very confident about the balance sheet liquidity and how that gives us a terrific runway to continue fueling the growth in the business.
David Barden: All right. Great. Thanks, Kenny. Appreciate it. Thanks, Paul.
Kenny Gunderman: No problem.
Operator: Thank you. And our next question comes from Simon Flannery with Morgan Stanley. Your line is now open.
Simon Flannery: Great. Thank you very much. Good morning. Paul coming back to the fiber, perhaps you could just give us a sense of what the recurring revenue trends are. I think your model suggests it's pretty stable for this year, but any sense of how that looked this quarter? And I know that DISH has been a big part of your optimism for 2023. What are you seeing from DISH right now? They gave us an update on their call yesterday about continuing to expand to 15,000 towers to hit their June 2023 guidance. So is that starting to flow through to some of your markets, or is that more of a 2023 factor? And then Kenny you talked about being patient with M&A, you've also talked about potentially exploring a separation to highlight the value of the non-Windstream revenue and cash flow streams. So could you update us on your thoughts there? Thank you.
Paul Bullington: Sure. Simon I'll get us started. In terms of recurring revenue, recurring revenue growth is really as expected and even a little bit better than expected revenue. Recurring revenue came in a little bit above our projections for the second quarter. And part of that as Kenny mentioned was contribution from DISH, not the only contribution to that, but DISH made a meaningful contribution to that. So, we're continuing to expect the mid-single digit growth in recurring revenue. Some pieces of it are growing even faster. Kenny mention our enterprise recurring revenue grew double digits, 11%, I think, year-over-year. So we're seeing nice growth in our recurring revenue business, which is really what we put on the majority of our focus on building over the long-term. And as we look out into next year, like I said, in my comments, we expect that same sort of growth to continue. So very pleased with that. Installs were the highest they have ever been. In the second quarter, we had a record quarter, both in the wireless part of our business and enterprise part of our business as well. So, installs is an MRR, monthly recurring revenue number. So, that's all about recurring revenue coming on to the business and churn continues to remain low. So, the outflow of recurring revenue out of the backdoor continues to remain really low for the business kind of industry leading, we think in terms of our churn performance. So we see nice trends there and we see those trends continuing.
Kenny Gunderman: So Simon on your last question, look, the reason we focused on developing a plan to separate our businesses because we believe there is a conglomerate discount associated with our stock and it's weighed down by the Windstream part of our business. And so when you look at that and when we look at the trends in the industry, including in the last quarter and this year, they continue to reinforce that view. And by that, I mean, when we look at private market multiples related to fiber-to-the-home businesses, those multiples continue to [indiscernible] that view. And by that, I mean, when we look at private market multiples related to fiber-to-the-home businesses, those multiples continue to improve. And obviously our Windstream business is an important part of a fiber-to-the-home provider. And so, we're emboldened by the operating trends in the industry and the multiples associated with those businesses, and feel that's another area where it's important for us to be smart and patient about unlocking that value. And with respect to commercial fiber, which is our bread and butter, that's the core part of our business. We've also seen those multiples elevate. There were a couple of private market transactions announced during the quarter where multiples were – if EBITDA multiple were well north of 20 times, EBITDA in fact, approaching 30 times EBITDA. So, we feel like that the markets, whether it be private or public but mostly private are putting the appropriate intrinsic valuations upon our piece parts. And so, as a result, we believe it's important to be able to separate those assets and unlock that value for our shareholders in the event, there is transformative M&A opportunities. And so I think maybe coming full circle to your question, we wouldn't separate our assets unless it were in the context of a transformative M&A transaction, or at least that's what we're contemplating today.
Simon Flannery: Great. Thank you. And anything more on DISH as over the next several quarters when you really expect that to start scaling?
Kenny Gunderman: Yes, sorry, we missed that one. Look, I think DISH was more active than we expected in the first half of the year. And a lot of that was to help them hit their first targeted date with the FCC. But candidly, most of the markets they were targeting were not Uniti markets. I mean, they were more Tier 1 in nature as you know Simon. And we're generally more in the Tier 2-ish markets. And so now they are moving on to the second targeted date of midyear next year. And we actually think there is going to be more – we know there are going to be more opportunities for us in our markets. And so, as a result, we do think the second half of this year, and probably the first half of next year in particular are going to be very busy.
Simon Flannery: Great. Thanks a lot.
Kenny Gunderman: Sure.
Operator: Thank you. I would now like to turn the conference back to Kenny Gunderman for closing remarks.
Kenny Gunderman: Thank you. We appreciate your interest in Uniti Group and look forward to updating you further [indiscernible].
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.